Operator: Good day, ladies and gentlemen, and welcome to the ExlService Holdings, Inc., Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Charles Murphy, Head of Investor Relations. You may begin.
Charles Murphy: Thank you, Mercy. Greetings, and thanks to everyone for joining our third quarter 2013 earnings conference call. I'm Charlie Murphy, Head of Investor Relations. With us today are Rohit Kapoor, our Vice Chairman and Chief Executive Officer; and Vishal Chhibbar, our Chief Financial Officer. We hope you have had an opportunity to review the third quarter financial results press release we issued this morning. We have also updated our investor fact sheet on the Investor Relations section of EXL's website. Some of the matters we'll discuss in this call are forward looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include but are not limited to general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligations to update the information presented on this conference call. During our call today we may reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliations of those measures to GAAP can be found on the press release. Now I will turn the call over to Rohit.
Rohit Kapoor: Thank you, Charlie, and welcome, everyone, to our third quarter earnings call. The agenda for today's call will be as follows: first, I will provide an overview of our third quarter results; second, I will describe a few examples of strong new business activity over the last few months with both new and existing clients and provide an update on ongoing contractual discussions with an existing client; third, I will discuss our demand environment; lastly, I will turn it to Vishal for more detailed commentary on our financial results and outlook. Then we will be happy to take your questions. In the third quarter, EXL achieved strong revenue and adjusted EPS growth, both year-over-year and quarter-over-quarter. As expected, transformation services accelerated quite significantly, posting 21% sequential revenue growth. This impressive sequential growth was driven by decision analytics due to expanded relationships with several key clients in health care and banking and financial services. This growth was also driven by our Finance Transformation business, which enjoyed both seasonal strength and expanded consulting engagements with a large client. Concurrent with improving revenue growth, utilization and profitability increased in transformation services in the quarter, in line with our expectations. The investment in decision analytics we made earlier this year, in hiring over 160 graduates from top Indian universities, is already paying off, with nearly all the new hires productively deployed by the end of the quarter. Separately, our platform technology businesses, which are included in our outsourcing segment, showed strong growth in Q3. For example, our EXL Landa care management software business showed robust third quarter revenue growth, driven by a new license sale to a large U.S. health insurer. Both decision analytics and our platform technology businesses, such as Landacorp, are key investment areas for EXL, and we are pleased to see them generating such strong returns. We believe both businesses enjoy a robust long-term growth outlook, driven by proprietary business-process solutions in our targeted verticals. Third quarter total revenue from our banking and financial services vertical grew 17% year-over-year, while our insurance and health care vertical grew revenue 21% year-over-year. Health care remains a key growth opportunity for EXL across all our businesses and grew nicely above company average. In the third quarter, our outsourcing business as a whole grew 13% on a constant currency year-over-year, driven by the acquisition of EXL Landa and growth from existing clients in insurance and health care, finance and accounting and utilities. We are encouraged by the strong new business activity we generated over the last 3 months, both in signing new clients, implementing recently signed deals and expanding with our existing client base. I would like to discuss a few examples. We won 3 new deals with top-tier U.S. insurers in the last few months. These wins demonstrate our position as the leading strategic partner for operations management and decision analytics to the global insurance industry. Our unmatched experience and capabilities make us an attractive partner for companies looking to offshore for the first time in this sector. We believe these 3 new deals are the first step on a long runway of growth with all 3 companies. They also highlight the various ways we can deliver business impacts to an insurer's operations. One contract is for decision analytics, one is for operations management and one is for finance transformation services. We began an exciting new engagement with a major U.S. bank during the third quarter, providing us an excellent opportunity to showcase our operations management expertise, specifically in legal support solutions in this case. In addition, this allows us to promote our services in other areas of banking and financial services, such as decision analytics, where we are among the leading providers of decision analytics for risk, marketing and banking operations. While the majority of our organic revenue growth in a given year is likely to emanate from expanding within our existing client base, these 4 new deals provide strong evidence of the diversity and the size of our market opportunity with new Global 1000 clients. On last quarter's call, I mentioned that we won sizable, new, multiyear operations management contracts with 2 key existing clients, one in travel and one in insurance. Both contracts are ramping up impressively and will continue to grow well into next year. Both are being delivered from the Philippines, where we have invested aggressively to build world-class delivery capabilities. For example, this past quarter, we added incremental capacity to our facilities in Cebu, our second delivery location in the Philippines. We are working to implement 2 large new contracts in our platform technology businesses. One was in our EXL Landa business, which is continuing to grow its leading position in care management software for health insurers. The other was for our LifePRO policy administration platform for life, health and annuities with a leader in supplemental insurance. In the third quarter, we signed 3 partnerships, an area we see as increasingly important to our growth and differentiation. We entered into an agreement with SunGard to distribute comprehensive receivable management services globally, leveraging their AvantGard GETPAID technology platform for order-to-cash management. We signed a joint marketing agreement with Ariba to provide integrated procure-to-pay services. Both of these partnerships enhance our financial accounting practices' ability to offer unique and powerful business process solutions to the finance organizations of EXL's clients. Finally, we commenced a strategic relationship with Urban Lending Solutions to provide dual-shore business process management, operations consulting and analytics solutions to the U.S. mortgage industry. Tempering the prospects of positive new business activity is uncertainty about future volumes and terms with a material client. As a matter of policy, due to confidentiality agreements we have in place with our clients, we do not disclose details of commercial arrangements with our clients. As discussions with this client are ongoing, we will be limited in the amount we can discuss on today's call and will provide further updates in due course. Our new client pipeline remains strong across our businesses. In particular, demand is robust for operations management among our existing customers in insurance and health care. Demand remained strong for finance and accounting operations management, as well as for decision analytics, particularly in banking and financial services. Most of the deals in finance and accounting and analytics tend to start relatively modestly, but the quality of the logos and the long-term business opportunity for expansion and value creation is exceptionally high. We are continuing to see an increase in large, transformational deals in our pipeline. Often these are with first-time users of third-party operation managers. We believe this increase in large, complex deals is good for our industry. It is evidence of the evolution to technology-enabled operations management with embedded analytics and of the ongoing shift away from FTE-based pricing. It is good for the growth and the long-term profitability of leading focus and innovative strategic partners like EXL. In closing, the third quarter showed strong growth across EXL's businesses. We were pleased in particular to see transformation services accelerate as we expected and the strong growth in our platform technology businesses. Our business outlook remains robust and we look forward to executing on the large and exciting growth opportunities ahead. Now I will turn the call to Vishal.
Vishal Chhibbar: Thank you, Rohit, and thanks, everyone, for joining this morning. In the third quarter, EXL reported revenues of $122 million, up 9% year-over-year and 5% sequentially. On a constant currency basis and excluding previously announced low-margin client transitions, revenues grew 16% year-over-year and 8% sequentially. This quarter, average INR rate to dollar depreciated by over 15% year-over-year, 11% quarter-on-quarter and, as a consequence, foreign currency translation had a negative 3.7% impact on year-over-year revenue growth and negative 2.6% impact on sequential growth. In outsourcing services, revenues grew 8% year-over-year and 17% on a constant currency basis, excluding client transitions. Year-over-year growth was driven by the addition of our EXL Landa platform technology business and expanded relationships with existing clients in insurance, health care and finance and accounting. Sequentially, outsourcing services revenues rose 2% on a reported basis and 6% on a constant currency basis. In transformation services, revenues were up 10% year-over-year and 21% quarter-over-quarter. Year-over-year growth was driven by strong growth in decision analytics, which was in turn fueled by several encouraging expansions with marquee clients in banking and financial services, insurance and health care. Sequential growth was driven by strong growth in decision analytics as well as robust growth in finance transformation business due to seasonality and expansion with a large existing customer. In the third quarter, gross margins of 41.1% were up 200 basis points year-over-year and 480 basis points sequentially. Year-over-year margin increase was driven by rupee depreciation and high-margin EXL Landa software license revenue. Sequential margin increase was driven by similar factors as well as higher utilization in our transformation business. Our sourcing gross margin of 43.3% was up 380 basis points year-over-year and 440 basis points sequentially, driven by the EXL Landa acquisition and the rupee depreciation impact. Transformation services' gross margin was 31.5%, down 560 basis points year-over-year, driven by the advanced hiring in our decision analytics and finance transformation businesses, which more than offset margin benefits from rupee depreciation. We continue to see excellent long-term growth potential in decision analytics and have been successful in recruiting data scientist talent from some of the best institutions, both on and offshore. As expected, gross margin in transformation business improved substantially quarter-over-quarter, up 880 basis points, driven by strong acceleration in revenue and concurrently higher utilization as well as the rupee depreciation. We expect gross margin in transformation services to continue to improve, driven by a strong growth outlook, particularly in decision analytics. G&A expenses were 12.9% of revenues, up 70 basis points year-over-year and 100 basis points quarter-over-quarter. Driving the sequential increase was approximately $2 million onetime client write-off, which more than offset the benefit of rupee depreciation and operating leverage. We expect G&A as a percentage of the revenue to decline sequentially in the fourth quarter. Sales and marketing expenses were 7.4% of revenues, up 120 basis points year-over-year and down 50 basis points sequentially. The year-over-year increase was driven by higher headcount due to our focused investments in industry experts, of our sales leadership, as well as by our EXL Landa acquisition. In the third quarter, we had an FX loss of $2.5 million, driven by our hedging program in response to strong depreciation in the Indian rupee. Our hedging program once again ensured that our pretax income was unaffected by volatile foreign exchange, increasing our earnings visibility. At the current exchange rate, we are updating our expectations for the fourth quarter to a foreign exchange loss of $2.8 million to $3.2 million. In the third quarter, the tax rate was 24.2%, down 280 basis points year-over-year and 390 basis points quarter-over-quarter due to onetime deductions and credits. For the fourth quarter, we estimate the tax rate in the high-20s, with a full year tax rate in the mid-20s. Next year, we expect our tax rate to be in the high-20s. Adjusted EBITDA was $28.4 million in the third quarter, up 13% year-over-year and 29% sequentially. Strong revenue growth and expansion in gross margins drove the year-over-year increase. Year-to-date, we generated $44 million in cash from operations and spent $12 million on CapEx. For the year, we expect CapEx of $18 million to $20 million. Net income was $13.2 million, up 13% year-over-year and 43% sequentially. Adjusted net income was $16.4 million, up 18% year-over-year and 32% sequentially. Diluted EPS was $0.39, up 11% year-over-year and 43% sequentially. Adjusted diluted EPS was $0.48, up 15% year-over-year and 32% sequentially. This quarter, we had a record collections. DSO improved by 5 days to 54 days this quarter, down from 59 in the second quarter. As Rohit mentioned, we enjoy a strong balance sheet, with over $138 million in cash and equivalents and no debt. We plan to use this cash accretively for M&A. Our M&A pipeline remains active, particularly for tuck-in acquisitions, which would add proprietary technology or process expertise in our targeted verticals or delivery excellence in new geographies. Turning to 2013 guidance. We project a rupee-to-dollar exchange rate of INR 61 for the fourth quarter versus INR 59 for the second half at the time of our last earnings call. Based on this rate, we're tightening our guidance for revenues to $473 million to $478 million. Adjusted for constant currency, the midpoint of our revenue guidance remains unchanged. We are tightening our guidance for adjusted diluted EPS to $1.72 to $1.77 to account for our third quarter results and current visibility. We're tightly managing our expenses and generating operating efficiencies, which will result in our 2013 adjusted diluted EPS growing at 9% to 12% year-over-year, which is faster than the revenue growth. We are encouraged by our third quarter results. In particular, we are pleased to see our transformation services business accelerate, as we expected, and for our platform technology businesses to register strong growth. We have been aggressively investing in both decision analytics and platform technology for several years and this quarter we saw substantial return from these investments. We enjoy many external -- extremely attractive opportunities for long-term growth in our core markets, and we'll continue to invest aggressively. We're excited by our robust long-term growth outlook and look forward to capitalizing on many of the large opportunity that are ahead of us. Now we would be happy to take your questions.
Operator: [Operator Instructions] Our first question is from Edward Caso from Wells Fargo.
Richard Eskelsen - Wells Fargo Securities, LLC, Research Division: It's actually Rick Eskelsen on for Ed. My first question is just a clarification on the large deals. I believe through the second quarter you said you'd signed 2, and I was curious, on the deal wins you talked about this quarter, if any of these are in the large deal category. And then how your pipeline looks.
Rohit Kapoor: Rick, this is Rohit. So for EXL, we've now started to disclose the new client wins that we have, and we've actually done away with the practice of delineating between large, strategic deals and other deals. And the reason for that is as our business continues to grow and mature, we find that the differentiation between these 2 does not create a significant impact in terms of our growth rate of our business. So our focus is to provide color on the demand environment, our execution on winning new deals. In the third quarter, we won 8 new deals, 4 in outsourcing and 4 in transformation services. And as we provided color in our call, we also signed up these 4 deals with leading companies, which are Global 1000 companies, where we would expect to have a long runway of growth. And I think that, that's the right way for us to be able to describe our new business activity.
Richard Eskelsen - Wells Fargo Securities, LLC, Research Division: Okay. And then just following up on that, you talked about seeing more and more large deals in the pipeline, and that's not a new phenomenon. But was it a change at all this quarter or just a continuation of the prior trend? And how are you seeing those deals turn into revenue and ramp-up once you've won them?
Rohit Kapoor: So it does appear to be a continuation of a trend, which began approximately 12 months ago, and we continue to see some of the large customers who are outsourcing for the first time come into the deal pipeline. I think the number of visits that we are seeing take place to India or the Philippines or Eastern Europe continue to increase and the demand environment remained strong. I think not only are we seeing these deals come into the pipeline, I think we're also seeing decision making happening with these deals. And as we mentioned in the call, we expect for the deals that we've won, for these deals to ramp up nicely into next year. And even with our existing clients, we are seeing a fair amount of business volume activity and that continues to progress very nicely.
Richard Eskelsen - Wells Fargo Securities, LLC, Research Division: And then just the last question for me. One of your large clients, American Express Business Travel, had talked about 1 month ago about initial plans to sell 50% of the unit and create a JV. And now that it's been about 1 month since that announcement, I wonder if you have any thoughts on any impact that you might expect to that business?
Rohit Kapoor: Sure, Rick. Rick, we will not be discussing specific clients by name. And so I will not be able to share any information about any client on this call.
Operator: Our next question is from Ashwin Shirvaikar from Citi.
Ashwin Shirvaikar - Citigroup Inc, Research Division: I guess my question -- my first question is to ask you about the Indian rupee and the fluctuation in it. And quite simply, do you guys see a way out of these contracts or a way to minimize the fluctuation to your top line that has resulted because of these contracts?
Vishal Chhibbar: This is Vishal. The way our contracts are structured for nearly about 30% of our clients, where -- 30% of our revenues with some clients, the FX risk is borne by the clients and, as the rupee moves up or down, the billing -- they take the benefit or they take the hit. And in the long term, we think that, that's beneficial for the client if the rupee depreciates and they get the benefit immediately. And we don't think there's any way to protect against that, and I think the volatility in the revenues would remain. But as we have explained, this is a mathematical impact to our revenues. The bottom line and the margins are protected.
Rohit Kapoor: Ashwin, this is Rohit. Let me elaborate a little further on what Vishal just commented. Number one is, as you are aware, most of the contracts that we have with our clients are long-term contracts. And therefore, the contractual arrangements that we have with them are going to stay on for the life of the contracts. The second is philosophically, the company has always tried to rely on the decision that we would like to share the foreign exchange rate risk with our clients. We intend to make money in terms of delivering operations management, decision analytics, platform businesses services and on providing these types of services to our clients, and we do not intend to make money or lose money based on the volatility of the exchange rate. This strategy of ours is somewhat unique in the industry. It does impact our revenue number and creates volatility with our revenue numbers. But our profitability is unimpacted by the strategy and, on a going-forward basis, we continue to believe that as long as we can build and grow our business, this is -- this volatility would dissipate and become smaller and smaller in magnitude over a period of time.
Ashwin Shirvaikar - Citigroup Inc, Research Division: That's fair enough. I guess shifting gears more to the operational side of things, good deal wins, good traction in the business. Are you seeing anything with regards to deal ramps either slowing or getting pushed out or any of that kind of thing that you think affects you into 2014?
Rohit Kapoor: No, Ashwin. I think we continue to see the same steady demand outlook for our services. There's nothing unusual that we're seeing across our client base, and our clients continue to ramp up deliberately and gradually, as is prevalent in our business. And we continue to see a number of migrations being in flight and continuing to work on expansion and acquisition of new clients.
Ashwin Shirvaikar - Citigroup Inc, Research Division: Right. So just to be clear, on a normalized basis, you're still looking for that 15% to 20% growth rate?
Rohit Kapoor: I think the demand environment is strong, our ability to execute is very good and we would expect a growth rate commensurate with that. We certainly look forward to providing guidance for the next year when we report out our fourth quarter numbers.
Operator: Our next question is from Manish Hemrajani from Oppenheimer.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: [Indiscernible] transformation services, was that all attributable to spend in [indiscernible] decision analytics? And can you provide us with an outlook for the rest of the year and early read into 2014 for this business?
Rohit Kapoor: This is Rohit. The growth in transformation services was largely driven by decision analytics, but we also had growth in the other lines of businesses within transformation services, particularly finance transformation. As you know, the third quarter is seasonally high for that particular line of service. And on a go-forward basis, as we get more and more clients who use our services on an annuity base, we think the momentum is good and attractive as we go into next year.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Good. Did you see any marked change in client behavior and decision making that has caused the pickup in transformation deals? And should we expect that sentiment to slow through the rest of the year? And any -- are you seeing any kind of a budget flush in the fourth quarter?
Rohit Kapoor: Sure. We were actually always seeing a strong demand environment for transformation services, particularly for decision analytics. And in the first half of the year, we did have some project-based revenue that came off, but we replaced that with annuity-based, long-term contracts in decision analytics. And I think that, that trend continues to play out. The good part about this is that now, a greater portion of our portfolio in decision analytics is annuity based and therefore is a lot more stable and something that we can -- which is a strong foundation that we can build upon. On a go-forward basis, we would continue to see growth taking place in our finance transformation business, and I think that, that's something which we would continue down the path of. Regarding the budget flush, we haven't seen anything of significance as yet. Most of that, if it happens, would happen more towards the end of next month and just prior to the -- to December. So we'll see how that plays out. But right now, we haven't seen any real signs of that.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Got it. And can you talk about your win rates as your deal sizes get larger? And a quick comment on pricing?
Rohit Kapoor: I think pricing in general is quite fluid right now, particularly given the volatility in the exchange rates. So I think that's something which does play in. But other than that, I think pricing is fairly stable. And I think what we are seeing in terms of larger deal sizes is our ability to win deals at the corporate margin levels.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: So given your comment on pricing, does that put you at an advantage versus your peers because you're letting the client bear FX risk in light of environment where the rupee keeps depreciating? Does that put you at an advantage versus your peers?
Rohit Kapoor: Yes, most certainly. I mean, on 30% of our portfolio where our clients are taking the risk and benefiting from that 100%, certainly they see the advantage of that and they appreciate the transparency that EXL has with them in the relationship. And I think that certainly should be an advantage for us.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Last one for me. Any early read into 2014 budgets? Or is it still too premature to talk about it?
Rohit Kapoor: Manish, I think it's too premature to talk about it. We certainly will provide you color and guidance as soon as we've got strong visibility into that. And as you know, we historically will share that when we provide our fourth quarter earnings. And that will be sometime in the beginning of next year.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Got it. Just thought it didn't hurt to try. A couple of housekeeping questions. Vishal, can you talk about the stock comp and amortization levels for Q4?
Vishal Chhibbar: Stock comp for Q4 should be in line with what we had for the last 2 quarters.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: And amortization? It is the same, I guess [indiscernible].
Vishal Chhibbar: Yes. So roughly around that $2.5 million to $2.6 million.
Operator: Our next question is from David Grossman from Stifel.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Rohit, perhaps we could just kind of step back. If we look at the BPO business, the core outsourcing business, it's probably been trending a little bit below your historical levels even when you x out the acquisition of Landa and the OPI customer transitions and currency. So given that backdrop, and I understand your reluctance to talk about large deals and your reluctance to get too far out about what's going to happen next year, but it's clearly top of mind for all of us, what the bookings trends has been vis-à-vis the growth rate and how we should start thinking about growth perhaps over -- beyond the fourth quarter? Is there anything you can tell us to give us some perspective? And you can leave out the large customer that you may have some uncertainty around but, if you just look at the core business x all the noise, can you give us some insight into how we should be thinking about this or some data points that would help us kind of hone our own thinking in terms of what growth is going to be over the next year or so?
Rohit Kapoor: Sure, David. So let me try and address your question at a high level. Essentially, the way we see it is that the demand for outsourcing services continues to remain strong. We have seen, in fact, increased strength in the demand over the last 12 to 18 months, and that's very, very encouraging. At the same time, the decision-making cycles of our clients for outsourcing seems to be long, it seems to be deliberate and it seems to be gradual. So there isn't any client which takes a decision on this and moves forward in a hurry. Everything is done -- as you know, because there is a fair amount of dislocation and impact and risk, it's done in a gradual and steady manner. So we continue to see that play out from a demand perspective. You're right about EXL in terms of our own growth rate in the outsourcing business. And excluding some of the onetime issues that have taken place, there has been some amount of volatility in our portfolio. I think the way we see it is there are a number of factors which are impacting our industry. One is, of course, the exchange rate. The other is the development and the creation of new business models in terms of addressing and providing services to clients, switching away from FTE-based pricing to transaction-based pricing, as well as the impact of companies to be able to deliver incremental business impact to their customers. What we try and do is we try and be very, very disciplined to build up a strong foundational set for a client portfolio and a capabilities set so that we can continue to build the organization long term. And that's what we are focusing on. And I think if you take a look at this on a -- with a longer-term time horizon and viewpoint, I think the growth has been very, very good, and we would expect it to be good on a go-forward basis.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: So it would seem from your comments that there are a lot of different deals out there and that at least your discipline around profitability and prospects for growth over a longer period of time is impacting the win rate but over time should normalize given the quality of what you're doing. Is that the right way to think of it? Or did I misunderstand the comments about exchange rate, business models, new services, et cetera?
Rohit Kapoor: No, David, that's exactly what I was saying, yes. So you're absolutely right.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: So I guess then just 2 quick follow-up question. One is, can you -- if the rupee begins to strengthen, does that theoretically help you in the sense that some of the things that are being done in the marketplace are no longer possible from a -- by your competitors? Or what should we be looking for that would help kind of stabilize, if you will, the competitive environment so that some of these factors are no longer impacting win rates?
Rohit Kapoor: So I think you're absolutely right. If the rupee was to strengthen, I think EXL would benefit significantly as compared to its peers because, firstly, on the 30% portfolio where the clients take FX risk, our revenues would increase immediately. And at the same time, I think with an appreciating rupee, we don't need to go to our clients to ask them for a price increase. That's something which happens automatically with the portfolio where our clients are taking the risk. And so I think we will be better served in terms of our revenues increasing at a faster pace as well as our margins still being protected. And I think competition in the peer group might have issues on both these dimensions in an appreciating currency environment.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: And is there anything else we should be thinking about in terms of whether it be deal duration or any other things? And we know about anniversary-ing OPI. I believe -- I assume that stabilizes after the fourth quarter at a lower level though. Is there anything else we should be thinking about that may be impacting the growth rate that, just by virtue of time, goes away over the next couple of quarters?
Rohit Kapoor: No, David, there's nothing else that we can think of. I think you're right about the OPI client transitions. Our expectation is that, that would be complete by the end of the fourth quarter. But that's something which is a transition that would have taken place throughout 2013 and would not be there on a go-forward basis.
David M. Grossman - Stifel, Nicolaus & Co., Inc., Research Division: Well, I think it is, isn't it? It's -- doesn't it -- you -- on a year-over-year basis, you're going to have to live with that throughout all of next year, isn't that correct?
Rohit Kapoor: Yes. We'd have to live with the decline in the revenue for the following year. But my point was that we'd have everything completed as per expectations by the end of the fourth quarter.
Operator: Our next question is from Tien-tsin Huang from JP Morgan.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Just a follow-up on OPI. Did you call out the sort of the revenue impact from the transition this quarter and what the implied impact would be in the fourth quarter? I'm just trying to better model that to grow [ph] over for next year.
Vishal Chhibbar: This is Vishal. So you're talking about the impact of the client transition in this quarter?
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Yes, in this quarter and then just what would be implied in the fourth quarter s well in your guidance?
Vishal Chhibbar: Quarter-on-quarter, the impact was minimal because the majority of the client transition, as we mentioned, happened by Q3. And in next quarter, I think also we expect some client transition to happen but that would be not material.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Okay.
Vishal Chhibbar: Yes.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: Yes. No, because I'm just trying to think about some of the -- I know it's been asked a lot -- just thinking about next year, between the FX, the OPI, and then we'll have to take a view on the large client loss. So I was just trying to get a sense of the year-on-year impacts.
Vishal Chhibbar: Yes, Tien-tsin, I think that the impact of the OPI client would be more in 2014 as the client, which was expected to transition in Q3, got delayed and now the client transition will happen in the end of Q4 and the impact would be more in 2014. And we had said earlier that would be 3% to 4%.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: 3% to 4%. Okay, understood now. So not much this year. So mostly, it will hit next year just from a timing standpoint? Okay.
Vishal Chhibbar: Yes.
Tien-tsin Huang - JP Morgan Chase & Co, Research Division: That's what I wanted to clarify. And I know you can't say much on the large client risk. I think you mentioned volume and terms sort of under negotiation. Is there risk that there's a significant transition in general with this client? If so, would that be -- would that trigger a termination payment? Or are we more talking about scope? I'm just trying to better understand what's on the table in terms of negotiation here.
Rohit Kapoor: Yes, Tien-tsin. As you know, we've got confidentiality agreements in place with all of our clients, which preclude us from discussing anything specific. So we will not be able to give you any color on that on this call.
Operator: Our next question is from Paul Thomas from Goldman Sachs.
Jac Charles - Goldman Sachs Group Inc., Research Division: This is Jac Charles on behalf of Paul Thomas. Just a couple of questions for you. I know you haven't said much about the material client, but can you maybe give us some color on whether they might be considering moving the process in-house or what the driver of volume uncertainty is? Was it potentially related to prior contract write-downs?
Rohit Kapoor: Jac, this is Rohit. As I've said previously and I've said in my call, we just will not be able to discuss anything on this topic.
Jac Charles - Goldman Sachs Group Inc., Research Division: All right, fair enough. Then I guess another question. Could you maybe give us some color on the project-based revenue? How that's looking as we go into 4Q? Will the strength we saw this quarter persist?
Vishal Chhibbar: Jac, this is Vishal. I think we will continue to see the strong growth in our transformation business, driven by both our annuity line of business and project-based business. So we expect that in Q4, we should have sequential growth in the transformation business.
Operator: Our next question is from Dave Koning from Robert W. Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: I guess my first question, just we can see you give the top client, which continued to grow pretty well year-over-year in Q3. You also give the top 3 clients. And when we see the top 3 client growth, we can kind of back into the second- and third-largest clients, and that meaningfully deteriorated. I think it grew 7% in Q2 and declined 3% year-over-year in Q3. So I'm wondering if there's any correlation between kind of that trend and what you're talking about with the big client and maybe if it's already starting to hit revenue now. Maybe you can just talk through whether that's part of the impact or something else is happening.
Rohit Kapoor: This is Rohit. I think whatever we've disclosed in terms of our client revenues publicly is what we'd be willing to share at this point of time. There's nothing else that we can add to that dimension.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay. The second thing, just how big was the acquisition contribution in Q3? I think Landacorp still hasn't quite anniversary-ed until into Q4 at some point. I'm just wondering how much revenue that contributed.
Vishal Chhibbar: Organic growth in Q3 was about 6%. Acquisitions contributed about 6.6%, offset by the foreign exchange impact.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then finally, if the rupee stays here around INR 61, what would be the year-over-year impact in 2014? I know you talked to Tien-tsin about the impact from OPI being 3% to 4% into next year. I'm just wondering what the rupee impact would be into 2014?
Vishal Chhibbar: David, I think in terms of the rupee impact, looking at our current portfolio and the mix of the geographic business and the -- I think the impact would be around $6 million to $7 million.
Operator: The next question is from Joseph Foresi from Janney Capital Markets.
Jeffrey Rossetti - Janney Montgomery Scott LLC, Research Division: This is Jeff Rossetti on for Joe. Just a couple of questions about gross margin. Vishal, I believe you mentioned on the outsourcing side that there was an improvement partially attributed to the software license revenue. I just wanted to see if you could breakout kind of the platform business growth and kind of how you see gross margins for the outsourcing businesses as that business improves?
Vishal Chhibbar: Yes, this is Vishal. I think the gross margin for our outsourcing business there, the -- and the platform business is included, would remain stable at the levels -- current levels for Q3. And I think that, that's a good way to look at even for Q4.
Jeffrey Rossetti - Janney Montgomery Scott LLC, Research Division: Okay. And then on the transformation side, you mentioned there was an impact on the margin side from advanced hiring. But I'm noticing in the quarter that sequentially, headcount came down a little bit. Could you maybe just talk about some of your hiring plans going forward?
Vishal Chhibbar: Yes, the headcount, which came down quarter-on-quarter, was because of the client transition we had talked about. And so there was some headcount which went away from -- on the client transition of the OPI portfolio. But in terms of our gross margin on the transformation business, I think the -- as we expect the transformation business to continue to ramp up even in Q4 and sequential growth -- we expect sequential growth, the gross margin will slightly improve quarter-on-quarter.
Jeffrey Rossetti - Janney Montgomery Scott LLC, Research Division: Okay. And then any commentary about just hiring going forward?
Vishal Chhibbar: I think we continue to hire in both transformation business and outsourcing business depending on the ramp and the growth prospects. So we always want to have a good bench as we enter into the Q4 and also for the next year. So headcount both in transformation business and outsourcing should increase.
Operator: Our next question is from Rahul Bhangare from William Blair.
Rahul S. Bhangare - William Blair & Company L.L.C., Research Division: I was wondering if you could talk about what's driving some of the weakness in Europe and your other geographic segment.
Rohit Kapoor: This is Rohit. I think for us, Europe continues to also see a lot of opportunity, and we're seeing a fair amount of new client pipeline activity in Europe. The reason for the geographic contribution to come down a little bit is only because we've had a spurt of growth take place in the U.S. and we've also had many of our acquisitions, which have all been largely U.S.-centric clients, and that's basically resulted in the change in the portfolio mix. But from a demand perspective and our business platform perspective, I think Europe continues to be an attractive market segment for us. We've got a strong pipeline out there. We've got a team that we've beefed up this year in Europe. And we would expect to build and grow our business out there at pretty much the same pace as we are building our global business.
Rahul S. Bhangare - William Blair & Company L.L.C., Research Division: Okay. And then just coming back to a previous pricing questions. So for the non-FX part of the portfolio, so not the 30% but the rest of the 70%, have you seen clients come back asking for any pricing concessions given the rupee's movements?
Rohit Kapoor: So Rahul, I think the rest of the portfolio is actually split up into 2 parts. One is where we take the FX risk, and the other is where neither the client nor EXL takes the FX risk and our revenues and costs are in the same -- are denominated in the same currency. So for the portion where we take the risk associated with the client contracts, we typically have a long-term hedging policy in place in order to protect against the volatility associated with the exchange rates and our hedging goes out anywhere from 12 to 36 months. And since this is -- these are long-term hedges that we've got in place, where our clients have chosen to pass on the risk to us and we've hedged out that risk, the changes associated with the pricing will only take place if exchange rates remain low for a relatively long period of time. And so that's how the rest of the portfolio gets treated.
Rahul S. Bhangare - William Blair & Company L.L.C., Research Division: Okay. And then quickly on the competitive environment. Have you noticed any change in win rates, particularly in any of your core verticals and in the U.S.?
Rohit Kapoor: No, I think we continue to be encouraged by our ability to attract new customers and I think the pipeline remains strong. The maturity of the deals in the pipeline is progressively becoming better. And our ability to win new clients continues to remain attractive. So no change there.
Operator: Thank you. I'm not showing any further questions in queue. I'd now like to turn the call over to Rohit Kapoor for any closing remarks.
Rohit Kapoor: Thanks, operator. I just want to conclude by saying that we are really pleased with our third quarter performance. We continue to see strong growth in our business lines and we continue to see strong demand. We've got a very, very strong franchise and a platform in place, and we look forward to exciting growth possibilities ahead. Thank you so much for attending the call and we look forward to seeing you at our next call.
Operator: Ladies and gentlemen, this does conclude today's call. You may now disconnect. Thank you.